Operator: Good day, and thank you for standing by. Welcome to the Glacier Bancorp Fourth Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Randy Chesler, President and CEO. Please go ahead.
Randy Chesler: Good morning, and thank you for joining us today. With me here in Kalispell is Ron Copher, our Chief Financial Officer; Byron Pollan, our Treasurer; and Tom Dolan, our Chief Credit Administrator. I'd like to point out that the discussion today is subject to the same forward-looking considerations outlined starting on page 14 of our press release, and we encourage you to review this section. Overall, the Glacier team delivered a very strong fourth quarter and full year performance. The positive trend of margin expansion driven by increasing interest income and lower deposit costs continued in the fourth quarter. Credit performance remains very good, and we believe we are very well positioned for a strong 2025. Diluted earnings per share for the current quarter was $0.54 per share, an increase of 20% from the prior quarter diluted earnings per share of $0.45 and an increase of 10% from the prior year fourth quarter diluted earnings per share. Net income was $61.8 million for the current quarter, an increase of $10.7 million or 21% from the prior quarter net income of $51.1 million and an increase of $7.4 million or 14% on from the prior year fourth quarter net income. The net interest margin as a percentage of earning assets on a tax equivalent basis for the current quarter, was 2.97%, an increase of 14 basis points from the prior quarter net interest margin of 2.8% and an increase of 41 basis points from the prior year fourth quarter net interest margin. Net interest income was $191 million for the current quarter, an increase of $11.2 million or 6% from the prior quarter net interest income of $180 million and an increase of $25 million or 15% on from the prior year fourth quarter net interest income. The loan portfolio of $17.3 billion increased $81 million or 2% annualized during the current quarter. The loan yield of 5.72% in the current quarter increased 3 basis points from the prior quarter loan yield of 5.69% and increased 38 basis points from the prior year fourth quarter loan yield. Total deposits of $20.5 billion at the end of the year 2024 decreased $168 million or 1% from the prior quarter and increased $618 million or 3% from the prior year-end. Non-interest-bearing deposits represented 30% of total deposits which remains unchanged from the prior year-end. The total core deposit costs, including non-interest-bearing deposits of 1.29% in the current quarter decreased 8 basis points from the prior quarter total core deposit cost of 1.37%. The total cost of funding also including non-interest-bearing deposits of 1.71% in the current quarter decreased 8 basis points from the prior quarter, total cost of funding of 1.79%. Non-interest expense was $141 million for the current quarter, a decrease of $3.7 million or 3% from the prior quarter. Non-interest income for the current quarter totaled $31.5 million, which was a decrease of $3.2 million or 9% over the prior quarter and an increase of $684,000 or 2% over the prior year fourth quarter. Gain on sale of residential loans of $3.9 million for the current quarter decreased $972,000 or 20% compared to the prior quarter and increased $1.7 million or 76% from the prior year fourth quarter. Our credit portfolio continues to perform at near record levels with no material negative trends emerging. Tangible stockholders' equity of $2.1 billion at December 31, 2024, decreased $17.4 million or 1%, compared to the prior quarter and increased $118 million or 6% compared to the prior year. On November 20, 2024, the company's Board of Directors declared a quarterly cash dividend of $0.33 per share paid in December. The dividend was the company's 159th consecutive regular dividend. The Glacier team has done an excellent job taking care of our customers while growing the business organically and welcoming our new acquisitions. In 2024, we closed and converted two transactions during the year. Our purchase of the Rocky Mountain branches in Montana and the acquisition of Wheatland Bank in Eastern Washington, totaling approximately $1.2 billion in assets. And last week, we announced the proposed acquisition of Bank of Idaho, a $1.3 billion bank with locations in Eastern Idaho, Boise and Eastern Washington. This is a great transaction for Glacier because it strategically expands our presence in several high-growth markets where we already have a presence. Financially, the transaction is very attractive, reflective of our disciplined approach to M&A with minimal tangible book value dilution, immediate accretion and conservative cost savings assumptions and a paid to trade ratio of only 76%. Bank of Idaho has a solid record of high performance. And this was a negotiated transaction between Glacier and Bank of Idaho. So that ends my formal remarks, and I'd now like to open the line for any questions that our analysts may have.
Operator: [Operator Instructions] And our first question comes from Jeff Rulis with D.A. Davidson. Your line is open.
Jeff Rulis: Thanks. Good morning, Randy and team.
Randy Chesler: Good morning, Jeff.
Jeff Rulis: Maybe just to check in on the margin and maybe loan growth. But first margin, you guys really gave pretty good transparency in '24 as you approached 3%. And I guess the question is kind of the initial look at the path this year. I'm assuming -- well, maybe the December average was north of 3%, but wanted to check in kind of the guardrails of how you frame up 25% relative to '24?
Randy Chesler: Yes, I appreciate that. And we've had a lot of discussions about it. So Byron is ready to talk about margin.
Byron Pollan: Sure, Jeff. One of the things that we see going forward, we do see continued growth -- so one of the things that we're looking at is when we look at Q1, we do expect to see a continued growth, but at a slower pace. If you look back at kind of where we have been recently, Q3 of last year, that was -- that margin growth was supported by our Rocky Mountain branch acquisition. If you look at Q4, the growth there, the 14 basis points that Randy noted in his remarks, that was supported by Fed rate cuts leading to lower deposit costs. I think in Q1, as we look ahead, we're going to lean a little bit more on asset repricing. So we do expect growth in Q1, but at a slower pace. I would say our margin does have the potential, the growth does have the potential to accelerate through the rest of the year. And what we'll see in 2025, as we'll see increased security runoff from our investment securities portfolio. I think that will be helpful to margin. We have some high-cost FHLB borrowings that will be maturing through the year. So that will be an opportunity for us to lift margin as well. And then, of course, we have the Bank of Idaho transaction that will provide a little bit of boost as well. So when I look at the full-year 2025, I think our margin will land somewhere in the range of 3.20% to 3.25%.
Jeff Rulis: Really good color. Thanks, Byron. And then I'm going to chase down the growth that I believe a little seasonally slower, but also given what the market's giving you, I guess, any thoughts on the big picture growth? Maybe any commentary about any shifts in customer demand that you're seeing. Trying to get a sense for what you guys are budgeting in '25 on the growth front organically.
Tom Dolan: Jeff, this is Tom. For looking forward, we're looking at low to mid-single-digit loan growth. Overall pipelines over the last quarter were stable, but we did see growth in early-stage opportunities. And there's growing optimism among the customer base, but we've yet to see it translate to actual deal flow yet. So with what we see today, we're looking at low to mid-single-digits for '25.
Jeff Rulis: Okay, thanks. I'll step back. Thank you.
Operator: Our next question comes from Matthew Clark with Piper Sandler. Your line is open.
Matthew Clark: Hey, good morning.
Randy Chesler: Good morning.
Matthew Clark: Just a few more around the margin. The spot rate on deposits at the end of the year and the average margin in the month of December?
Byron Pollan: Sure, Matthew. This is Byron. Spot rate on deposits. This is total deposits at the end of December was 1.26%. And our December margin, we did have some noise within the quarter. And when you smooth out that noise, our December spot margin was 2.99%.
Matthew Clark: Okay. And then the guide of $320 million to $325 million for the year. That seems like it implies like a 340, 345 exit rate in 4Q. Is that fair 335 to 345?
Randy Chesler: Yes. You're spot on that.
Matthew Clark: Okay. And then on the loan yields, they were up excluding accretion, they're up 4 bps to $565 million. Can you just give us a sense for -- you're able to mitigate the rate cuts with the floating portion of your portfolio, which is relatively small -- but give us a sense for your outlook on core loan yields or if you want to include accretion that's fine too. Just trying to get a sense for whether or not loan yields can continue to expand if we get another rate cut given the back book?
Byron Pollan: Yes, I do think we'll continue to see expanding loan yields. One of the things that you noted we have a relatively small percentage of our loans are floating rate. But 1 of the things that we are looking at is we'll have about $2 billion of loans repricing in 2025. And they'll be repricing based on today's market environment, they'll be repricing of 100 to 125 basis points. So I think that repricing dynamic is going to be very helpful. plus new production rates, I think, are going to be healthy as well. So that is our outlook for the -- those are the drivers behind our outlook for increasing.
Matthew Clark: Great. And last one, just on expenses. Ron, you want to take a stab at the run rate even though you beat it again for the year?
Ron Copher: Sure. Thank you for the acknowledgment. Always appreciate that. Yes, just to put that into perspective, the reported $141 million, and we -- in the earnings release set forth a couple of adjustments. When you add that back, you get to $143 million. We're just below that low end. And when we gave that guide, we were aware that we would probably need to true-up performance-related compensation that was $5 million rounded. So if you put it all into perspective, it's $148 million if we had not had that expected performance related to adoption. So that's that. But the guide -- I'm excluding Bank of Idaho, so the guide for 2025 per quarter, it will range from $151 million to $154 million. And as you would expect, the first quarter is skewed is typically higher and then we call that towards $154 million. And then as we go through the -- each of the quarters, it becomes less as we grow into our existing space. And the numbers that I just gave includes the cost savings that remain from Wheatland Bank, which I would tell you is about $2.1 million roughly. And then the Rocky Mountain Bank acquisition, the majority of that to come in 2025, and that's about $2.8 million. All total about $5 million of cost savings that we've built in and very much are achievable in 2025.
Matthew Clark: Great, thank you.
Operator: Thank you. Our next question comes from David Feaster with Raymond James. Your line is open.
David Feaster: Hey, good morning everybody.
Randy Chesler: Good morning.
David Feaster: Maybe touching on the deposit side. I mean, you guys have been active reducing deposit costs, working with your clients. You guys are -- I mean, you're coming off an already low level. But I just wanted to touch on how client reception has been to that in additional opportunities to reduce core deposit costs? And then just also, hoping you could touch on some of the NIV and DDA trends. How much of that was seasonal versus migration between accounts and just thoughts on deposit growth broadly.
Byron Pollan: Sure, David. This is Byron. I can touch on that. Yes, we're very pleased with the deposit cost reduction that we saw in the fourth quarter. In terms of customer reception, I think they've been understanding of the rate reduction. I think our customers are aware of the rate environment and they see the headlines with what the Fed is doing. And also see what other banks are doing as well. And so that, I think, has gone very well for us. I think in terms of ongoing opportunities, one of the things -- one of the places where I think we could see a little bit more progress is in our CD portfolio. Our CD portfolio remains fairly short. Over 60% of our CDs will roll over again in Q1, and those renewal rates are coming in around 10 to 20 basis points lower than the maturing rate. And so by the end of Q1, we'll be mostly repriced into the current rate environment. But I think that's a little bit of an opportunity for us as well. When I think about the non-interest-bearing flows, I do think that those were seasonally influenced. So we typically do see some outflow in the fourth quarter. And so -- and potentially what we saw a little bit of an unwind of the inflow that we saw in Q3, but definitely, it was directionally consistent with what we typically see in the fourth quarter.
David Feaster: Okay, that's helpful. And just back to the margin, I just want to be clear, so that $320 million to $325 million, that is exclusive of Bank of Idaho, and that would be additive to that margin guidance, correct?
Byron Pollan: That guide does include Bank of Idaho.
David Feaster: Okay, that is with Bank of Idaho. Got it. Got it. Okay. And then just touching on credit, I mean, obviously, credit is still benign in your book. I'm curious what you're watching closely, what you're seeing? Is there anything that's concerning. We've seen some pressure in some other banks on the small business side. But just kind of curious what you're seeing on the credit front?
Tom Dolan: Yes, David, I don't think we've seen the same pressures that others have. I can't point to any one specific geography or industry and even rewinding back a couple of quarters, certain commodities on -- for our ad growers suffered a little bit in 2024. But quite frankly, I think the end result of the ‘24 growing season was stronger than we had anticipated. So that's encouraging. So again, no specific industry, no specific geography that stands out.
Randy Chesler: The only thing I'd add there, David, is weak operators continues to be the one thing that we see develop. We did a lot of those folks out over the last couple of years, but we still see people struggling in an environment where they shouldn't be. So more individually focused, not trend related, but operators that struggle in an environment where they really shouldn't. That's business. You got good business spend and then you have men and women, and you have some weaker ones. So the only thing we're really seeing is and watching our operators, we think, are struggling when they shouldn't be, and there's a few, but not many.
David Feaster: Got it. And what about on the competitive landscape? I know you talked about just kind of an increased optimism. It hasn't necessarily shown up into the pipeline yet. Hopefully, that's on the come. But just kind of curious, what are you seeing from the competitive landscape from other banks across your footprint? And kind of where are new origination yields today?
Tom Dolan: Yes, I'll start with the new origination yields for the quarter was 7.34%. And the trend with that, I think a lot of the competitors are seeing the same thing that we are growing optimism but not seeing a lot translate into actual deal flow. And so what that means is those that do, there's increased pricing competition, and that's what we're seeing. So we're having to sharpen the pencil on stronger deals. We're really not seeing any concerning competition from a structure perspective, it tends to still be more around the pricing element.
David Feaster: Okay. All right, that's helpful. Thanks everybody.
Randy Chesler: Welcome.
Operator: Thank you. Our next question comes from Andrew Terell with Stephens. Your line is open.
Andrew Terell: Hey, good morning.
Randy Chesler: Good morning.
Andrew Terell: I wanted to go back to some of the margin just quickly. Byron, I think you made a comment earlier about experiencing some pickup in securities cash flow and repricing ability in 2025. Can you just rehash that a little bit and maybe if you could talk about just the cash flow you'd expect on a quarterly basis out of the bond book?
Byron Pollan: Sure. We have been seeing about $250 million per quarter of cash flow that's principal and interest from the securities portfolio. I do see a little bit of a bump in Q1. I'm going to increase that guide to $275 million in Q1 and then we start to kind of come into some treasury maturities. We'll have a $50 million treasury maturity in the second quarter. And then really where we will start to see these treasury maturities will be in the fourth quarter. We have $270 million maturing of treasuries. In Q4, that would be incremental to the typical $250 million of cash flow that we typically see. And then we will have meaningful quarterly treasury maturities throughout '26 and into '27.
Andrew Terrell: Got it. Okay, so I guess, fair to say kind of sideways into what I was going to ask next. Just you've got what looks like a really nice margin progression throughout 2025 on this fixed asset repricing dynamic. It seems like that's even though it's really good in 2025 kind of set to accelerate in 2026, at least from a fixed asset perspective, correct?
Byron Pollan: I think that's fair to say. We really haven't done much in terms of looking at '26. We're focused on '25 for now. But those trends, at least from the securities runoff definitely go into '26.
Andrew Terrell: Got it. Okay. And not to get maybe too technical, but you did mention a minute ago that the $2 billion of loans kind of re-pricing throughout the year. I think you mentioned 100 or 125 basis point pickup. And I'm just curious if I -- when you said 100 to 125 basis points, do you mean that's where new origination yields are above current average book yields? Or I would assume that the pickup just given the move in the five-year is more than like the back book, front book is more than 100 basis points on some of those loans?
Byron Pollan: Yes. What we're looking at there is we're looking at the yields that those loans are where they currently sit in the portfolio and where they will reprice, we expect the repricing to lift those yields 100 to 125 basis points.
Andrew Terrell: Okay. Got it. And then I wanted to ask around just some of the non-interest-bearing deposit flows. If I just look at the end of period versus the average, it looks like a lot of the NIB compression was late in the quarter. I was just curious if you could speak to trends you're seeing so far in January?
Byron Pollan: You are right. A lot of the outflow was late in the quarter. And typically, we are starting to see some of the seasonality come back into the deposit portfolio. I wouldn't say we're normal yet, but we're normalizing. We're kind of getting back to some of those normal seasonal trends. Q1 is -- can be somewhat of a mixed bag. What we typically see is we typically see a little bit of runoff into January recovery in February, March. And so far, I would say the flows that we've seen in December and so far in January, have been consistent with those historical months.
Andrew Terrell: Understood. Okay. Thank you for taking the questions.
Randy Chesler: Welcome.
Operator: Thank you. [Operator Instructions] Our next question comes from Kelly Motta with KBW. Your line is open.
Kelly Motta: Hi, good morning. Thanks for the question.
Randy Chesler: Good morning.
Kelly Motta: I wanted to get -- circle back to your outlook for growth ahead, I believe you said low to mid-single-digit loan growth. And just a couple of points of clarification. Does that include the acquisition Bank of Idaho in it? Would that be additive to that?
Tom Dolan: Yes. The Bank of Idaho would be additive. The low to mid-single-digits is organic.
Kelly Motta: Got it. And then I think you mentioned that there's still some FHLB borrowings to be paid down putting together kind of your outlook there for the size of the balance sheet, and kind of the potential payoff of borrowings and securities roll out. I'm wondering how we should be thinking overall about the size of the balance sheet for the year kind of exiting 2025 given there's multiple moving parts in that?
Byron Pollan: There are multiple moving parts. And so big picture, some of the things that the accelerated security cash flow runoff. You know, we talked about that. We will have above our $1.8 billion of FHLB advances, term advances that we currently have outstanding, $1.36 billion of those will mature in ‘25 and so I do expect that we'll make meaningful progress in paying down that debt. I don't know that we'll pay it all the way off. But I do think we'll make progress in paying some of that down. So between the securities runoff, that's going to give us the cash to pay down the wholesale borrowing. We could see some delevering in the balance sheet. And so organically, we could see a little bit of decline in the size of the overall balance sheet. Once we add Bank of Idaho, then I see us exiting '25 at a -- with a larger balance sheet than we exited ‘24. And so little bit of runoff, a little bit of delevering, then adding Bank of Idaho will get us back above that bar.
Kelly Motta: Got it. That's helpful. Thank you. And then I was hoping to clarify. I apologize. I was having trouble following the expense commentary. That $151 million to $154 million per quarter -- just to clarify, does that include -- is that stand-alone and then Bank of Idaho would be additive to that. And I think your commentary suggested some higher expenses to start out the year. So I'm hoping you could provide some clarity there?
Ron Copher: Yes. So Ron here. So the guide was per quarter, $151 million to $154 million per quarter and typical, the first quarter would skew towards the high side of the $154 million. And that those savings, as I said, what stair stepped down as we continue to achieve the savings from -- that remain for the Wheatland Bank, about $2.1 million is Rocky Mountain call it, $2.8 million. It's about $5 million all in. And so Boyd, Bank of Idaho pardon me, is not included in there. We do expect to close the deal in the second quarter of ‘25. And the run rate for that would be say, $9 million to $10 million per quarter. And certainly, the third quarter and fourth quarter, again, we're going to close on June 30, we're going to close on April 30. So I'll let you factor in. Yes, per year -- per quarter, excuse me, to $9 million to $10 million per quarter.
Kelly Motta: Okay. I appreciate that.
Operator: Thank you. And our next question comes from Jeff Rulis with D.A. Davidson. Your line is open.
Jeff Rulis: Thanks, hey, just a follow-up on the -- just wanted to check in on the credit side. I think the charge-offs came up a little bit, but certainly not a big number. And given the non-performers really comfortable level. Just the pickup in the provision particularly with a little slower growth. I wanted to just check in on the approach. A conservative view here? And anything kind of underfoot that I think maybe the charge-offs, there was a few in the construction bucket just checking back in on the pulse of credit from your view?
Tom Dolan: Yes, Jeff, this is Tom. The charge-offs, yes, you're right up a little bit in the fourth quarter. That was primarily end of year cleanup, something we go through on an annual basis. And to your point, nothing really material there. The change in the provision expense was centered in the unfunded side. So in the third quarter, we had a release on the unfunded side, in the fourth quarter, we had a provision with some new unfunded commitments that were booked. So that's the driver of the provision expense. On the funded side, no material change in outlook or anything like that.
Jeff Rulis: Got you, Tom. So maybe tying together when we talked about some growth, you kind of said some -- maybe some early-stage relationships developing. Is that tying those two together on the unfunded? Or are those separate entities?
Tom Dolan: Those are separate entities. The unfunded commitments booked in the fourth quarter, primarily on the construction side, where primarily deals that we have been working on for a few months prior to the fourth quarter. Those came through -- went through underwriting approval booking. So the increased optimism and kind of the growth in that sector of the pipeline is in addition to that.
Jeff Rulis: Okay, great. Thank you.
Randy Chesler: Welcome.
Operator: Thank you. I'm showing no further questions at this time. I would now like to turn it back to Randy Chesler for closing remarks.
Randy Chesler: Yes. Thank you, Daniel, and we appreciate everybody dialing in today. Have a great Friday and a fantastic weekend. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.